Operator: Good day, and welcome everyone to IDACORP’s Second Quarter 2014 Conference Call. Today’s call is being recorded and webcast live. A complete replay will be available from the end of the day for a period of 12 months on the Company’s website at www.idacorpinc.com. (Operator Instructions). At this time, I would like to turn the call over to the Director of Investor Relations, Mr. Lawrence Spencer. Please go ahead, sir.
Lawrence Spencer: Thank you, Kate and good afternoon everyone. Welcome to our Second Quarter 2014 earnings release conference call. We issued our earnings release before the market opened today and that document, along with our SEC Form 10-Q, is now posted to our website at www.idacorpinc.com. We will be using a few slides to supplement today’s call, and these are also located on our website. We’ll refer to specific slide numbers as we work our way through today’s presentation. On slide 2, we show the presenters on today’s call. Darrel Anderson, IDACORP’s President and Chief Executive Officer; and Steve Keen, IDACORP’s Senior Vice President, Chief Financial Officer and Treasurer. We also have other individuals available to help answer your questions during the Q&A period. Before turning the presentation over to Steve, I’ll cover our Safe Harbor statement which is on slide 3. Our presentation today contains forward-looking statements. While these forward-looking statements represent our current judgment or opinion of what the future holds, these statements are subject to risks and uncertainties that may cause actual results to differ materially from statements made today. As a result, we caution you against placing undue reliance on these forward-looking statements. A discussion of factors and events that could cause future results to differ materially from those included in forward-looking statements can be found on slide 3 and in our filings with the Securities and Exchange Commission, which we encourage you to review. On slide 4, we present our quarterly and year-to-date financial results. IDACORP’s second quarter 2014 earnings per share were $0.89, a decrease of $0.04 per share from last year’s second quarter. Recall the 2013 results reflect the impact of a change in method of account for investments and qualified housing projects. For the first six months 2014, earnings per share were $1.43, $0.20 less than last year’s comparable period. Steve will discuss these results in greater detail and review our key operating metrics.
Steve Keen: Thanks, Larry, and good afternoon, everyone. My comments today will focus on the major drivers of the second quarter results and then I will provide a brief update on the 2014 key operating and financial metrics. On slide 5 we presented the reconciliation of earnings from second quarter 2013 to second quarter 2014. Net income decreased $2 million quarter over quarter in large part due to milder weather this year. It is safe to say that the weather swing from second quarter 2013 to second quarter 2014 impacted sales to most of customer classes and is reflected in the comparative $8.6 million operating income reduction shown on slide 5. Increased sales from customer growth however resulted in a $2.5 million operating income increase partially offsetting the impact of weather. General business customers grew by nearly 7500 or 1.5% from the end of June 2013 to June of 2014. This equates to nearly 24% more growth in customers than occurred in the 12 months ended June 2013, so growth continues and has accelerate. Increased thermal maintenance expense in normal payroll and benefit increases combined decreased operating income by $4.3 million, while $2.4 million of other non-operating income and a $2.9 million reduction of income taxes helped mitigate the operating income decline. Then finally, $2.8 million of revenues sharing recorded in 2013 under our Idaho Regulatory Settlement situation did not recur in 2014 and thus is reflected as an increased quarter-over-quarter. On slide 6, we show IDACORP’s first six months 2014 operating cash flows and liquidity position at June 30. Cash flow from operations for the first six months of this year was $163 million an increase of $49 million over the same period in 2013. Changes in power supply cost collected under the Idaho PCA Mechanism increased operating cash flows by $54 million, the remaining change resulted from working capital and other items. IDACORP and Idaho Power currently have in place credit facilities of $125 million and $300 million respectively to meet short term liquidity and operating requirement. The liquidity available under the credit facilities is shown on slide 6 as well. Also, there are 3 million IDACORP common shares available for issuance under IDACORP’s continuous equity program. No shares were issued during the first six months of 2014 and we do not expect to issue new equity during the remainder of 2014 except for modest amounts relating to employee compensation plan. Moving now to our estimated 2014 key operating and financial metric shown on slide 7. We are maintaining both the expected operations and maintenance range and the capital expenditure range that we recorded on May 1 but are changing the expected earning support from amortization of additional Accumulated Differed Investment Tax Credits or ADITC in 2014 to zero from our previous estimate of less than $5 million. As discussed in our earnings press release this morning and in our 10-Q filing, we reverse the $950,000 of additional ADITC that we had recorded in the first quarter and we now do not expect to record any additional ADITCs in 2014. This results from our current expectations that our year-end return on equity in the Idaho jurisdiction will be above 9.5%. Recall, our Idaho Regulatory Settlement provides for use of additional ADITCs only when our return on yearend equity in Idaho is less than 9.5%. Now, turning back to our operating and financial metrics, we have tightened our expected hydroelectric generation to the range of 5.5 million to 6.5 million megawatts hours as we near the end of our water year. Lastly, based on our outlook for the remainder of this year, we are increasing our expected earnings per share guidance for 2014 to the range of $3.50 to $3.65 per diluted share from the previous estimate of $3.40 to $3.55 per diluted share. To summarize, this quarter and our updated outlook for 2014 we see solid performance from our core business even in the year where milder than normal weather reduced our revenues. Our updated guidance reflect our current expectation that we will exceed the 9.5% Idaho return on equity threshold once again without support from ADITC. We believe our continued focus on controlling cost coupled with positive customer growth have been the primary contributors. I will now turn the presentation over to Darrel to discuss recent regulatory actions, the EPA’s proposed rules under section 111B of the Clean Air Act, our continued economic progress and other important matters.
Darrel Anderson: Thanks, Steve and good afternoon everyone. Before I comment on few of the regulatory and operating areas, I want to reemphasize an observation in Steve’s comment. We continue to stay focused on the core business, the basic blocking and tackling that we believe provides value to both our owners and customers. Last quarter results reflect discontinued effort and rank second only to last year’s record second quarter when we look back over the last 10 years. In addition, if we achieve the upper end of our updated earnings guidance range, IDACORP will record a seventh consecutive year of earnings growth. With that I would like to take a few minute to update you on a few items. As many of we have a settlement stipulation addressing earnings in our Idaho jurisdiction. Steve referred to the tax credit feature of the settlement stipulation which allows Idaho Power to amortize up to $45 million of additional ADITCs to help achieve a 9.5% return on year-end equity in the Idaho jurisdiction. Importantly, the settlement also contains provisions for the potential sharing of revenues with Idaho customers. The features of the stipulations are shown on slide 8. As an example, last year’s earnings benefited from weather condition that help deliver results above our sharing threshold return on equity of 10% in Idaho. Our Idaho sharing mechanism lets customers participate in this positive results which of course also had a resulting impact on our earnings. We believe that the opportunity for Idaho customers to receive rate reduction benefits through the sharing mechanism has we did last year combined with the potential earning support the settlement offers below a 9.5% return on year-end equity in our Idaho jurisdiction has been positive for both share owners and customers. In May, Idaho Power filed an application with the Idaho Public Utilities Commission to extend the settlement stipulation. In the application, Idaho Power did not request any changes to the terms of the settlement except that Idaho Power’s Regulatory Authority to amortize additional ADITC continues until the full $45 million is used up or until otherwise directed by Idaho Public Utilities Commission. The commission staff has scheduled a workshop for staff and the parties on August 11 to discuss their views on the case and explore settlement possibilities. We see this as a positive step in an effort to move the filing forward. On a different regulatory front, the Environmental Protection Agency has recently released its proposed rules for existing generating plans under section 11A-D of the Clean Air Act reference on slide 9. These rules are intended to reduce carbon emissions from existing power plants. A 120 day comment period began on June 18th. Idaho Power is assessing the proposed rules and their possible impacts to the company. Idaho Power is also actively participating with other utilities and relevant agencies within the state where we have generation facilities to formulate a response to the EPA’s proposed rules. The EPA expects to issue the final rules by June of 2015 with the state or regional implementation plans due between 2016 and 2018. We will continue working with our fellow utilities, regulators and state agencies to determine how we may comply with the final rules while minimizing cost and system reliability impacts to our customers. It’s too early to determine how the rules will ultimately impact our operations. However, anything that increases power production cost will generally increase the prices our customers pay. Moving on to some of our major projects, The Boardman to Hemingway 500 KB transmission project continues to move forward. One important milestone to continue to follow is the environmental draft environmental impact statement which is schedule to released by the Bureau of Land Management in the fourth quarter. Separately, the project team continues its work on the company’s applications for site certificate for the Oregon State sitting process, and fieldwork and other project activities are ongoing. As you are aware, late last year Idaho Power and its plant co-owner and operator PacifiCorp, began installation of selective catalytic reduction or SCR equipment on two of the four generating units at the Jim Bridger coal plant in Wyoming. That work remains on schedule and within budget as described in our most recent quarterly update provided to the Idaho Public Utilities Commission on June 3rd. Our share of the equipment of the investment in the equipment has filed with the IPUC is expected to be approximately $130 million. These upgrades are included in Idaho Power’s 2013 integrated resource plan which was accepted for filing by the Idaho Commission in February. On July 8, the Oregon Public Facility Commission acknowledged Idaho Power short-term actions items in the IRP but did not acknowledge the investments in SCR technology at the Bridger plant. The Oregon Commission stated that it would undertake a fair and thorough investigation of the prudence of the emission’s technology investments at the Jim Bridger plant when Idaho Power seeks rate recovery for the investments. Moving onto the economy, we continue to see positive signs of expansion and growth. I have some examples on slide 10. In June, a report issued by Thumbtack, a consumer service website ranked Idaho number two and one of only four states to receive an A+ grade in a survey of more than 12,000 small businesses assessing how they precede the business environment and states and metro areas. Thumbtack partnered with the Ewing Marion Kauffman Foundation for their report. Idaho ranked number 6 in a recent evaluation of states with the fastest job growth. The Kiplinger.com assessment pointed out that Idaho benefits from the high-tech and energy sectors and the state will see the pace of new hiring climb significantly this year. The Idaho Department of Labor announced July 18 that businesses in this state hired more people in June and during any month since the mid 2000. The agency also shared that the state seasonally adjusted unemployment rate fell another 2/10th of the parentage point to 4.5%, the 35th straight month, the number of jobless workers has declined and on July 1st, stakeholders broke ground on the new $45 million, 370,000 square foot Boise City Center Plaza. This project is a public private partnership that will include office space, classrooms and laboratories for Boise State University, commercial space and an attached multi-model transit center. In part, due to these developments, Idaho Power continues to expect positive customer growth in its service area. The updated temperature and precipitation forecast from the National Oceanic Atmospheric Administration, or NOAA, is presented on slide 11. According NOAA’s, August through October 2014 outlook our service area has between 33% and 50% chance of above normal temperatures and an equal chance of above or below normal precipitation. Our last item to share with you relates to our 2015 integrated resource plan. We will be kicking off this process with our first advisory committee meeting on August 7. This plan process help shape our future resource needs based on a metric of assumptions, criteria and scenarios. We anticipate sharing updates to the process periodically between now and the time we plan to file the plan in June 2015. And now I and others on the call will be happy to take your questions.
Operator: Thank you. Ladies and gentlemen, we will begin the question and answer session. The session will be conducted electronically. (Operator Instructions). Our first question comes from Paul Ridzon with KeyBanc. Your line is open.
Paul Ridzon - KeyBanc: Aside from the workshop that is scheduled, is there any formal schedule for the ADITCs?
Darrel Anderson: Paul, this is Darrel. No, right now that is the current schedule and that's coming up here on August 11 and we would like to see how that goes. I think from that would be a schedule that would come out it. It’s not out of the realm possibility that as we said in my comment that we could enter into settlement discussions even at that meeting.
Paul Ridzon - KeyBanc: Great and then did you book any provision for refund in the quarter?
Darrel Anderson: Paul, Darrel again. No, we have not booked any provision for refund at this time. What I would tell you is that if you look at our earnings range right now that Steve updated you on the upper end of that range doesn’t quite get us to sharing. It’s pretty close but doesn’t quite get us there.
Paul Ridzon - KeyBanc: You are not sharing at the upper end, yes?
Darrel Anderson: That's correct.
Paul Ridzon - KeyBanc: Thank you very much.
Darrel Anderson: You bet.
Operator: Our next question comes from the line Brian Russo with Ladenburg Thalmann, your line open.
Brian Russo - Ladenburg Thalmann: Hi, good afternoon.
Darrel Anderson: Hi Brian.
Steve Keen: Hi Brian.
Brian Russo - Ladenburg Thalmann: Maybe we could just dig a little deeper into the increased guidance. It doesn't seem like weather was a driver of that, it is just the positive load-growth and the operating performance, correct? 
Darrel Anderson: Brian, it’s really a combination of the continued low growth, our efforts on our optimization efforts internally around managing our O&M expenses. Those are probably the two key components to what’s driving that. There is a little bit of tax benefit that are flowing through there, that are having a positive impact to those numbers but those are, the same thing really that drove the first quarter, I mean the first half of the year really a driving the second half and the change in our guindence.
Brian Russo - Ladenburg Thalmann: So the decrease in tax expense of $2.9 million, was that not contemplated in the original guidance?
Steve Keen: Part of the change in our tax rate, you could just equate to we have lower income than we have kind of stable level of flow-throughs but there is a small amount of uptake and what we would say is flow through deduction that showing up that yes this wasn’t in our initial plan. So they do move throughout the year. As Darrel said that's a fairly modest change and it just contributor to the other pieces that are really putting us at a level we feel comfortable to raise guidance to the level we did.
Brian Russo - Ladenburg Thalmann: Okay. The $2.4 million positive variance on non-operating income and expenses, is there any significance about that? 
Steve Keen: One piece that I think will make sense to you, the AFUDC is the contributor to that, as we have throwing in and out of capital that we are spending and our capital has been, it’s been growing inconstantly we haven’t seen the dips there. So that has contributed. We have a (inaudible). 
Brian Russo - Ladenburg Thalmann: Okay. And then just to understand the various scenarios of the upcoming workshop, one scenario is you can reach a settlement, and that will be filed and made public. Another one is you can't reach an agreement, and a procedural schedule will be set for a more formal discussion and review with the -- we can file testimony and staff intervener testimony, that sort of thing?
Darrel Anderson: Right. Depending on the outcome of the workshop on the 11, we will then dictate whether or not we have a more formal schedule we could set up.
Brian Russo - Ladenburg Thalmann: Okay. I realize it is early on in your IRP process but any additional insight into any capacity needs between now and at least 2020 when The Boardman Hemingway Line might be operational?
Darrel Anderson: I think it’s little premature to even speculate on that. We spend a lot of time on a lot input. As Said lot of scenarios that we will run, we will take 11A-D will be part of that discussion. So there is a lot of things, even we do this every two years but there is a lot of things that have moved in two years and so it will be premature to kind of speculate on anything it’s out there. But we are going into this with our advisory group and will be very thorough with it and come out there whether we think is the best alternatives for us moving forward.
Brian Russo - Ladenburg Thalmann: And just one last question; I think there was a docket opened in early July regarding your PCA and further review, just any insight into that?
Darrel Anderson: Brian I am going to have Gred Said to speak to it because he is actually closet to those workshops and I will let him speak to them because he has recent conversations with those folks regarding those. Greg, do you want to take that?
Greg Said: Sure. There was a workshop yesterday where we got together with the commission staff and the two parties indicates which were the industrial customers and I guess they were the only intervener in that case with the (inaudible). There were some other interested parties in the room but the industrial customers were the only other party. And the nature of the staff request for workshops was to have discussions as to whether or not Idaho Power’s quantification of numbers in our file power cost adjustment were appropriate and calculated in conformance with prior commission orders. There was a couple of questions as to some of the moving keys pieces that what characteristic of prior year. Anyway following the discussions or as a result of the discussion that occurred yesterday, the parties agreed that Idaho Power had indeed filed the PCA and conformance with prior commission orders and at this point in time we expect the staff to notify the commission of that conclusion. And suggest that that case be closed.
Brian Russo - Ladenburg Thalmann: Okay, great. Thank you very much I appreciate it.
Darrel Anderson: Thanks Brian.
Operator: Our next question comes from the line Chris Ellinghaus with Williams Capital. Your line is open.
Chris Ellinghaus - Williams Capital: Hi guys, how are you?
Darrel Anderson: Hi Chris.
Steve Keen: Hi Chris.
Chris Ellinghaus - Williams Capital: A couple of questions, as far as the IRP goes for next year, how well do you believe that you can address the EPA issue and how do you anticipate doing that at that time, will that that take into 2017?
Darrel Anderson: I think it’s fair to say that will be a work in progress as we work to through the IRP this go-around, most likely. Again then rules has a standard air draft as we all know there will be comment filed and start to see what the final rules might ultimately look like. So there will be a consideration because where we plan to this June of next year. So they may have some inklings towards what might be in those rules and the status kind of depending on the timing what EPA decided to do with those rules but it will be a part of the discussion. Again, I don’t think we know as we said here today how much of impact it will have until we really get into that process. And one thing I will reiterate, just Chris as you know as our number one resource in our last IRP was Boardman to Hemingway. And just as a remainder as to why Boardman to Hemingway was the resources because it was not building new generation, it was accessing already available generation in the region at the time that we needed it. And our point with respect to Boardman to Hemingway today is if we don’t build Boardman to Hemingway like-way you have to built something else and that we would make as because more carbon in the air because it’s likely we have carbon generating unit of some sort if we have to do that and this by building this line put us in a position to access generation that's already available and again should help from a carbon prospective not for issuing to building some other generating resource. So that's kind of a – as we put the spin on that and when we look at what the value of B to H is, it’s the fact and we kind of looking at this really as the low-carbon option. 
Chris Ellinghaus - Williams Capital: Okay. Is that something that you can address in the IRP as a range of possible outcomes, or is that something that you would just say, look, we don't really know, so we can't address it at this point? 
Darrel Anderson: I believe and again we haven’t started the process really in the ownership but I would believe that that would be incorporated as some part of the options that might be out there.
Chris Ellinghaus - Williams Capital: Okay. Can you just walk us through a little bit of the ADITC history in terms of extension and the existing settlement? And do you have any color for sort of where interveners lay in terms of an additional extension or any issues that they might have?
Darrel Anderson: I will try and I will get corrected if I go straight here but I believe I think at least in the current form, I think it’s six year I believe and if you recall over the six years, we have yet to utilize any of the ADITC throughout that six year period and as we have Steve alluded today, we now have recently changed our estimates of not using any of this year either. I don’t have the number in front of me but we have shared a lot that with the customer. so I think the story are between okay I don’t recall what it is but if we look at how the mechanism has worked with respect to the customer and the owner I think if there is a good balance there and so from that standpoint we have a good track record. Actually, I’m being told now that the total amount that we shared over the life is $92 million, so again $92 million without using ADITC, I think we have been very prudent and how we have used the mechanism and so benefit have flown back. So I think we have a good story. It’s going to be a matter of sit down, let the staff, with the interveners have any opportunity to talk about what it’s done, what it may be hasn’t done and how that conversation and see where people end up. It’s fair to say I think that most folks would suggest that it has been positively received.
Chris Ellinghaus - Williams Capital: Okay, good. Steve, can you go over the tax issues for the quarter again I didn't quite catch that. 
Steve Keen: Chris, you recall we have a, we are a flow-through jurisdiction, and so we don't provide differed taxes unless we are technically required to provide differed taxes. So there are a lot of items, repair allowance since one that has been talked about in recent years. That is the deduction part, it’s positive that helps earning. There are other deductions that go the other direction, the AFUDC factors in, permanent differences factor in, it was really a movement in multiple of those items, the largest change being repairs, just as we have looked at capital as we have analyzed what we were spending and how we apply the latest regulations and various of these deductions to the actual things that are going on or our estimates so what is going on that those numbers have shifted slightly. And the biggest piece of our tax reduction is really just we made less money. We didn’t make – that doesn’t account for the total change. There was little bit that was accretive.
Chris Ellinghaus - Williams Capital: Okay. Can you tell us what you anticipate your tax rate to be this year?
Darrel Anderson: Last time we talked around the mid-20s and there is no reason that we will suggest that we would be moving after that based on what we know today. And I think this quarter we saw 24% or so in and around that range.
Chris Ellinghaus - Williams Capital: Okay, great. Thanks for the help.
Operator: Our next question comes from the line of Ashar Khan with Visium. Your line is open. 
Ashar Khan - Visium Asset Management: Hi, how are you doing? Sorry, I joined a little bit late. Darrel, so I don't know if this question was asked or not. But could you remind us, what have you said on the dividend in terms of the increase this year, at what level or something or what the goal is?
Darrel Anderson: That's a great question, Ashar. What we have basically said is at least 5% is what we would anticipate increasing in September, at least 5%. With our goal continue to be to get within 50% to 60% of sustainable earnings.
Ashar Khan - Visium Asset Management: Okay, so it is at least 5%, but it could be higher depending upon what we see in September, right?
Darrel Anderson: At least 5%.
Steve Keen: Ashar we said that we anticipated annual changes of at least or above 5% until we approach the upper end of 50% to 60%.
Ashar Khan - Visium Asset Management: And what was the timeline approaching that 50% to 60%?
Steve Keen: We didn’t set a hard timeline, we really didn’t.
Darrel Anderson: And Ashar as you know that divided is always a board decision and so management can make recommendation that ultimately it is a board decision at the end of the day.
Ashar Khan - Visium Asset Management: Okay. And then if I heard you correctly, you said that the $3.50 to the $3.65, the upper end of the range still does not -- you don't, I guess, reach the ROE band, right, which is at 10.5% if I am correct? When the sharing starts, is that...
Darrel Anderson: That would be 10.
Ashar Khan - Visium Asset Management: ... 10, sorry. So Darrel, when you come up with your guidance usually, what do you base it on? Do you base it on the 9.5 as the midpoint or usually in the beginning of the year, or how is it based?
Darrel Anderson: Ashar we are based on whole lot of factors. I mean there is share and ADITC mechanism is a consideration and how we set earning guidance. So we take everything into account as it relates to coming up with the number and obviously the ADITC mechanism today allows us to help kind of set a bit of floor but it’s not a guaranteed floor either. And so it does help us and so that we start in and around that range and then move after that depending on what other operating issues are out there and setting that number. A lot of variable, it is not just going to what is the 9.5% number say.
Ashar Khan - Visium Asset Management: Okay. And if I can ask a last question. I know sometimes you have it; it's not on these slides. What is the rate base growth projected, Darrel, next year?
Darrel Anderson: I am going to let Steve answer that question.
Steve Keen: Future rate base isn’t something that we have actually publicized. 2.5 million is our last rate case where we had a full general and then we have the Langley Gulch closing that added about another 340 million, so you can roughly little above $2.8 billion is where we were, really through our last rate filing and that would have been mid-2012. So you can take a look our addition to each year and depreciation (inaudible).
Ashar Khan - Visium Asset Management: Yes, but that is what I was going to ask. What is the latest CapEx number for 2015?
Steve Keen: We are in and around 300 million on an annual basis.
Ashar Khan - Visium Asset Management: And how much is depreciation usually on an annualized basis?
Steve Keen: It’s a little over a 100 million to 120 million.
Ashar Khan - Visium Asset Management: 120 million, okay, okay.
Darrel Anderson: Ashar, 2015 CapEx range is about 315 million to 335 million.
Ashar Khan - Visium Asset Management: Okay so in essence, if you subtract 120 that is nearly like 200 million of more rate base being added as part of the equation. Okay, I appreciate it. Thank you so much.
Steve Keen: Bonus depreciation would have an impact on that as well and that is one of the reasons that it is difficult to project where would be in the future is. Bonuses there this year but we will see when we find out if it’s going to be there for next year or in the future but it would be nice to get some clarity on that prior to year end and not be floating into 2015 but there is certainly a lot of talk about extending bonus.
Ashar Khan - Visium Asset Management: Okay. I appreciate it. Thank you so much.
Darrel Anderson: Thank you, Ashar. Thank you.
Operator: (Operator Instructions) that concludes the question-and-answer session for today. Mr. Keen, I will turn the conference back to you.
Steve Keen: Thank you all for participating on our call this afternoon and for your continued interest in our company. Good bye. Thanks operator.